Christian Stohr: Good morning, ladies and gentlemen. Welcome to our Third Quarter 2023 Financial Results Presentation. Hosting our conference call today is Yves Müller, CFO and COO of HUGO BOSS. Before we get started, and just like in the past, allow me to remind you that all revenue-related growth rates will be discussed on a currency adjusted basis, unless otherwise specified. I would also like to remind you that we kindly ask you to limit your questions during the Q&A session to a maximum of two. So, with this, let's get started and over to you, Yves.
Yves Müller: Thank you, Christian, and also from my side, a warm welcome to all of you. Thanks for joining our conference call today, and thank you for your interest. As you have taken notice from our press release earlier this morning, at HUGO BOSS, we look back on the successful third quarter marked by double-digit top and bottom line improvements. This performance is once again proof of our unwavering commitment to CLAIM 5 because one thing is certain, in an increasingly challenging market environment, sticking to our game plan of consistent strategy execution is and will remain absolutely crucial. I'm therefore all the more encouraged that in the third quarter, we have made further strong progress along all our five strategic claims. By focusing particularly on those areas of our business that have the biggest impact on today's consumers, we continued to successfully implement several brand, product, and omnichannel initiatives also in Q3. Most importantly, we further drove brand desirability following the launch of our two highly successful fall/winter campaigns, as well as spectacular fashion events. This enabled us to propel brand awareness and social engagements to new heights, something I will talk about in more detail in just a few minutes. Besides that, we also further strengthened the 24/7 lifestyle images of BOSS and HUGO, while always putting strong emphasis on our superior price value proposition. This also includes having launched several new license categories during the third quarter, including a joint luggage collection of BOSS and Samsonite. And last, but certainly not least, we made strong strides in pushing ahead with our omnichannel approach to deliver best-in-class retail experience both online and offline, and boost store productivity alike. In this context, we continued to drive forward with our comprehensive store optimization and modernization initiatives, which I will discuss in more detail later on. All this enabled our brands to once again claim their position in consumers’ minds, and further drive brand heat around the globe. In doing so, we continued to strongly outgrow our broader peer group, thus driving market share gains across key product categories. I'm particularly pleased that in Q3, our broad-based growth trajectory from previous quarters continued across both our brands, all regions, and all channels. We have thus added another strong quarter to the successful track record of our CLAIM 5 strategy execution. Overall, group sales increased by 15% currency adjusted, or 10% in reporting terms, mounting up to more than €1 billion , and making the three months period a record third quarter for HUGO BOSS. Fueled by our robust topline growth, EBIT increased 12% to €103 million, resulting in an EBIT margin of 10.0%, up 20 basis points year-over-year. The strength of our two brands, BOSS and HUGO, was once again the key factor behind our successful operational and financial performance in Q3. Both brands continued to build on the strong momentum of previous quarters, fueled by the launch of the latest fall/winter 2023 collections in August. The accompanying BOSS campaign followed up on the powerful motto, BOSSes aren’t born, they are made. The campaign showcases the personal stories of true BOSSes such as Nomi Campbell, Gigi Hadid, Matteo Berrettini. and for the first time, NFL Superstar Pat Mahomes. More than ever, this campaign propelled brand awareness among BOSS fans globally. At the same time, HUGO also strongly activated and engaged with its global community, as the brand's latest fall/winter campaigns spotlights a number of music mavericks. While brand ambassador Bella Poarch headlined as the face of the campaign, HUGO also celebrates the launch of its joint capsule collection in September, specifically targeting Gen Z consumers. Overall, we increased the number of social engagement by almost 10 times compared to the previous year period, underlining the sustainable success of our ongoing marketing activations.  On top of this, our various fashion events further ignited brand heat for both our brands in the third quarter. Back in September, BOSS showcased its latest collection at a tech-inspired see now, buy now event during Milan Fashion Week, featuring a high-profile, diverse all-star cast. Livestreamed on social media and in various BOSS stores around the globe, our event achieved around 30 million views, thus tripling the overall reach when compared to our Miami event in March. Thanks to all these exciting brand initiatives, BOSS and HUGO continue to succeed in activating new and existing fans worldwide. In particular, on social media, our brands have clearly continued their strong dominance, first and foremost on Instagram and TikTok, and outperformed key competitors also in Q3. As a result, both brands recorded double-digit sales improvements in the third quarter. This development was driven by broad-based growth across all (wearing) occasions and key product categories, reflecting the improved perception of BOSS and HUGO as true 24/7 lifestyle brands. Overall, revenues were up 12% for both men's wear, up 24% for both women's wear, and up 25% for HUGO, with the latter representing a quarter-on-quarter acceleration of four percentage points.  With this, let's now move over to our channels, which all contributed to the strong growth in the third quarter, starting with our digital business, which successfully continued its double-digit growth trajectory, posting revenues growth of 25%. This development is even more remarkable when considering ongoing double-digit improvements across all our digital touch points. In fact, this includes a significant 20% increase in revenue growth of our online flagship, hugoboss.com, driven by further enhancement in both traffic and conversion. With revenues projected to exceed the €700 million mark later this year, we are well on track towards our midterm ambition of driving digital sales to over €1 billion by 2025. And with the revenue share approaching 20% of group sales, the strategic relevance of our digital business keeps growing towards our midterm ambition. We now switch gears to our brick-and-mortar wholesale business, which was up 21% in the third quarter. This development was driven by strong demand from partners around the globe, leading to double-digit growth across all regions. Importantly, and alongside a very robust order intake, this performance also reflects double-digit increases in our in-season replenishment business. All this reaffirms our optimism in the ongoing robust sellout data at our partners’ point-of-sale, enabling us to sustain our trajectory of capturing market share at key department stores.  This brings me to our brick-and-mortar retail business, where revenues expanded by 8% compared to the prior year. Growth in this channel was particularly pronounced in both the Americas and Asia Pacific, with double-digit increases each. At the same time also, EMEA recorded further revenue improvements in brick-and-mortar retail, and posted single-digit growth in the third quarter. Importantly, and despite a particularly strong comparison base year-over-year, our global brick-and-mortar retail business was still up a very strong 31% on a four-year stack basis, hence more or less at the same level seen in the prior quarter. This is all the more remarkable, given the numerous store renovations took place during the course of Q3. Speaking of our store network, the vast majority of the overall revenue increase in own retail was once again related to store productivity improvements, whereas space expansion continued to have a minor impact only. Year-over-year, store productivity increased a strong 7% to a level of €12,400 per square meter, well above our midterm store productivity target of at least 3% per annum. This development underscores our commitment to the ongoing optimization and modernization of our global store universe, including the rollout of our latest store concepts. On that, we continue to make considerable progress in converting our points of sale into true points of experience. Most notably, this includes our world's best-selling BOSS store in Dubai Mall, now showcasing the bold and vibrant branding refresh following its grand reopening at the end of September. In addition to Dubai, several other locations, including key BOSS stores in Amsterdam, Berlin, or Lisbon, to name a few, have been temporarily closed for several weeks and months. And while this also left its mark on our brick-and-mortar retail performance in Q3 to some extent, we consider the upgrade of our store network an important element of our omnichannel strategy to provide the best-in-class shopping experience for our customers.  This brings me to our regions, all of which contributed with double-digit growth to our third quarter performance. Let's begin with the Americas, where we successfully continued our superior growth trajectory also in Q3. With revenue growth accelerating to 22%, we once again recorded double-digit improvements across all of the region's markets. In this context, we are particularly pleased that our important US business gains further traction in Q3, posting remarkable growth of 20%. Most importantly, we continued to enjoy broad-based growth across all distribution channels, something that is all the more remarkable in the light of general market trends. Meanwhile, our business in Canada grew 15%, and we also continued our exceptional growth trajectory in Latin America, as reflected by revenue improvements of over 30%. All this once again demonstrates our many successes when it comes to leveraging business opportunities in the region and anchoring the 24/7 images of BOSS and HUGO in the minds of the north and Latin American consumers. Moving over to EMEA, where we posted revenue growth of 12% year-over-year, thus further strengthening our growing market share across channel. Importantly, our robust momentum persisted throughout much of the third quarter, with all of the regions, key markets, and all channels contributing to growth. As a result, Germany posted solid growth of 8% in Q3, while revenues in the UK and France were up 5% and 4%, respectively. Now, with mounting macroeconomic uncertainties, as well as an increasingly tough comparison base, allow me to remind you that our midterm financial ambition for EMEA is looking for a sales CAGR in the mid to high single digits between 2022 and 2025. This in turn means that with currency adjusted growth of 12% in Q3 and 16% up the first nine months, at this stage we are running ahead of our CLAIM 5 financial ambition, with some further normalization factored in. To conclude our on our geographies, let's take a quick look at Asia Pacific where sales expanded by 21% versus the prior year level. This development was driven by robust growth of 24% in Southeast Asia Pacific, including yet another outstanding performance in Japan, as well as further recovery of our business in China. The latter saw sales up 17% year-over-year, with strong support coming from both Hong Kong and Macau. On a two year stack basis, revenue growth in China thus accelerated quarter-on-quarter to low double-digit growth in Q3. Overall, we are therefore satisfied with our most recent business performance in China, including robust trading during golden week. Equally important, we remain fully committed to exploiting our long-term growth opportunities in China, as we continue to believe in the enormous potential of this important market.  With this, let's now move over to the remaining P&L items, starting with our gross margin, which totaled 60.7% in Q3, that’s broadly on the prior year level. This development is mainly related to positive impact from lower freight cost levels, which largely compensated for negative channel mix, as well as unfavorable currency effects. Speaking about our gross margin, let me point out that we continue to anticipate gross margin expansion in the final quarter of 2023. This development will be supported by the anticipated benefits from additional freight cost relief, declining product cost, and further support stemming from our latest pricing initiative. At the same time, we expect currency and channel mix effects to continue to weigh on our gross margin for the time being, while also the overall promotion environment may impact our gross margin to some extent in the short term. Consequently, for the full year 2023, we now expect our gross margin to remain broadly stable year-over-year and thus at a level of just under 62%.  Moving over to operating expenses, which decreased by 30 basis points to a level of 50.6% of group sales, mainly reflecting additional operating leverage generated in our brick-and-mortar retail business. The latter saw selling expenses in this important channel improving by a total of 60 basis points to 20.8% of group sales, supported by our various initiatives to further optimize and modernize our global store network. As a result, we were able to offset ongoing investments in marketing and digital, as well as higher fulfillment, variable rental, and payroll expenses following our robust topline performance. Altogether, and as already mentioned, we recorded a double-digit increase in EBIT in the third quarter, up 12% to a level of €103 million. This translates into an EBIT margin expansion of 20 basis points to a level of 10.0%. To conclude on the bottom line, net income after minorities also increased up 9% to €63 million, with the improvements in EBIT more than compensating for somewhat higher interest expenses in the three-month period.  Let's now turn to the balance sheet, starting with inventories, which increased 32% currency adjusted. As in previous quarter, the mass majority of our inventory comprises core and fresh product for current and upcoming collection, with both playing an important role in supporting further topline growth. This being said, and as outlined before, we have meanwhile implemented several measures to reduce overall inventory levels. And while we have seen an initial modest improvement with inventory-to-inventory levels as a percentage of group sales haven't reached their peak in the second quarter, we anticipate a more pronounced gradual normalization of inventory levels going forward. This progress fully aligns with our midterm ambition of bringing inventory down to a level of below 20% of group sales by 2025. This brings me to a trade net working capital, with a moving average of the last four quarters increasing to 20% of group sales. This development is primarily driven by the higher inventory position and uptick in trade receivables, reflecting our strong performance in wholesale, as well as a 10% decrease in trade payables. The latter primarily reflects the lower order volume as part of our measures to reduce core merchandise inflow going forward. Looking ahead, also for the full year, we now project our trade and working capital ratio to come in at around 20%. And while this is somewhat above our midterm target corridor, we are clearly sticking to our ambition of bringing our trade net working capital ratio down to a sustainable level of between 16% and 18%, with strong improvements to be made starting in fiscal year 2024.  Let's now shift focus to capital expenditure, which was up 64% on the prior year level, totaling €70 million in Q3. This development reflects the ongoing strong pickup in investments activity aimed at supporting the successful execution of CLAIM 5 also going forward. While focus areas continues to be centered around our global store network and our digital capabilities, we also ramped up our investments in logistics, fully in line with our strategic claim, organize for growth. This also includes the strategic multi-year expansion of one of our logistic hubs near our headquarters in Metzingen, announced only last week, something that will become more visible in our CapEx from 2024 onwards, and comprise total investments of more than €100 million by 2026. For the current fiscal year, however, we continue to forecast capital expenditures within the range of €250 million to €300 million, translating to around 6% to 7% of group sales. Last, but certainly not least, free cashflow amounted to minus €22 million in the third quarter, as our bottom-line improvements were more than offset by the increase in trade net working capital as well as higher CapEx. This, ladies and gentlemen, concludes my remarks on our third quarter operational financial performance. Before opening the floor to your questions, let's take a closer look at our top and bottom-line outlook for the current fiscal year. In light of our strong growth trajectory during the first nine months of the year, and the sustained brand momentum of both BOSS and HUGO during third quarter, today we confirm our full-year outlook for fiscal year 2023, which we have already increased twice this year. Above all, we will make 2023 another record year for HUGO BOSS as we continue to expect group revenues to increase between 12% and 15% in reported terms, ahead of our target CAGR of 11% by 2025. This means that we continue to anticipate revenues of €4.1 billion to €4.2 billion in fiscal year 2023, despite ongoing Forex headwinds, with all parts of our business set to contribute strongly. In light of the anticipated topline improvements, we also continue to forecast EBIT to increase within the range of 20% and 25% to a level of between €400 million and €420 million in 2023. In this context, we remain confident of being able to offset ongoing investments into our business by further efficiency gains, in particular when it comes to our brick-and-mortar retail business. We thus continue to expect our EBIT margin to improve to a level of close to 10% this year.  And while we are looking forward to the important final quarter with confidence, let me also emphasize that at HUGO BOSS, we remain vigilant as the overall market environment has become increasingly challenging with mounting macroeconomic and geopolitical uncertainties weighing on global consumer sentiment. Against this backdrop, we will continue to stay focused in what we can influence directly, what has made us strong in recent quarters, and what has enabled us to raise the bar for the medium-term outlook back in June, our CLAIM 5 growth strategy. The ongoing successful execution of CLAIM 5 will therefore continue to take center stage and remain our top priority, not just in the two final months of 2023, but also in 2024 and beyond. We will not rest, but keep pushing the pedal to the metal when it comes to further fueling momentum for BOSS and HUGO, inspiring and captivating fans and consumers worldwide, and investing into our business for long-term success.  Ladies and gentlemen, we are approaching year-end with great strides and remain well on track to achieve our financial targets for 2023. In doing so, we will not only make 2023 another record year for HUGO BOSS, but reach another important milestone along our multi-year growth journey to ultimately deliver on our 2025 financial ambition of €5 billion in sales and EBIT of at least €600 million, and thus an EBIT margin of at least 12%. At HUGO Bos, we are convinced that we have everything it takes to continue outgrowing our industry and thus capturing further market shares in the months and quarters to come. With our winning formula, CLAIM 5, and our two strong brands, BOSS and HUGO, we will ensure that by 2025, HUGO BOSS will not only be much bigger company, but also a company that is more resilient, more sustainable, and importantly, more profitable than it is today.  This, ladies and gentlemen, concludes my remarks for today. We are now happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Susy Tibaldi from UBS. Please go ahead.
Susy Tibaldi: Hi, good morning. Congratulations for your results. Two questions. The first one, can you share some comments on the current trends that you're seeing on the market? Many retailers are pointing to some rebound in November, given that Q3 was a bit softer, impacted by weather. So, it would be helpful to hear from you what trends you're seeing. And also when we think about the various regions, the guidance update that you provided at Q2 is now looking quite conservative in some markets, especially in the US. So, any comments around this will be very helpful. And secondly, just to dig a bit more on the building blocks of your gross margin in Q3, can you discuss if there was any impact from promotional activity in the quarter, and also how we should think about this factor for Q4? I understand it's still pretty much an unknown, but perhaps some sentiment indicators that you're seeing from your wholesale partners. Thank you.
Yves Müller: Yes, good morning, Susy. Thank you very much for your questions. So, I will be starting with the current trading. So, what I can confirm is, we’re happy about that. Regarding our retail brick-and-mortar business, we are trading on the same level, which were pretty strong in Q3. We are trading on the same level. And regarding retail digital, we are even - we are performing even slightly ahead of Q3. So, we are somehow happy how we started into Q4. Regarding gross margin, actually there is nothing really to talk about Q3. I think it was - like we all know, Q3 is a quarter where you usually don't have a lot of promotional activities because it's not - the sale months is not included in Q3. So, the promotional environment did not have any effect actually, or only a minor effect on our gross margin, and can be actually more or less neglected. So, going into Q4, I think you are right, this is the big unknown, what might be happening in terms of promotion activity for Q4, and I think I made it transparent to you in my presentation, Q4 will be the quarter where we will be exceeding last year’s because we see some tailwind coming from less freight costs, lower product costs, and the pricing will help us. The big unknown is the promotion activity, and we will have to see this, and we can react in a very short manner especially in these days of Singles Day or Black Friday. So, this is the big unknown, but overall we expect our gross margin to expand in Q4.
Susy Tibaldi: Thank you.
Operator: The next question comes on Juergen called from Jurgen Kolb with Kepler Cheuvreux. Please go ahead.
Jurgen Kolb: Yes, thank you very much. Two questions from me. First one, I was wondering if you could maybe give us a little bit more details on the order book specifically. I think I understand that you collected the order so far for H1. I was wondering if you could maybe provide us a little bit more indications, especially the split of leisure, formal wear, but also by regions, what you've seen there. And also, maybe with a slight comment on HUGO Blue, how that developed. And the second thing is, on the stores that remained open during Q3, I was wondering if you could provide us with some KPIs i.e., on customer traffic conversion, what you've seen there, if things have been flat or deteriorated or actually improved, just to better understand what the bricks-and-mortar retail performance was. Thank you very much.
Yves Müller: Yes, good morning, Jurgen. Thank you very much for your questions. So, regarding the order books, so first of all, for the remaining of the year, I think our order books are well packed for Q4. So, this is one. If you look at Q1, we make only kind of qualitative statement, but I can assure you that the order books have been pretty strong across the board. I mean, Asia is more or less neglectible, but in Europe and in the Americas, we still have seen a very strong order book. And if it comes to HUGO Blue, the first orders have been actually above our own expectations. So, we are actually quite happy how the order books developed for the summer season. If we come to the retail performance, I think it's worth mentioning that we have now two price increases as well in our books, and those price increases are helping us in terms of the average ticket that we are selling. So, if you take our full price stores, we are now sitting at €290 as an average receipt. I think that's a very strong number, and that has increased double-digit in comparison to the last year. So, this is the KPI that I really want to highlight, that the price increases are now visible in our books in terms of net sales of transaction. And if you compare traffic and conversion, it more or less levels out, but the price increases is driving this kind of increase.
Jurgen Kolb: Fantastic. Thanks very much. Best of luck for the last quarter.
Operator: The next question comes from Anthony Charchafji from BNP Paribas. Please go ahead.
Anthony Charchafji: Yes, thank you. It's Anthony from BNP Paribas. I have two questions, please. So, first on EMEA, so it's not slowing much, up 12%. Would it be possible to have more clarity on the brick-and-mortar retail performance in Europe? I mean, it was up 8% for the channel. And if you say that APAC and Americas were driving the average, we can assume low single-digit growth for EMEA in retail. So, could you quantify what was the performance? I mean, if we exclude your Dubai store that is a top selling one, and that was closed during this quarter. And if you can give a split between locals and tourists in Europe. So, that would be my first question. The second one would be for the Americas region accelerating, I mean, it's again, very impressive. To continue fueling the brand heat, could you comment on BOSS’s willingness or not to take in 2024 the Formula 1 brand's name of the AlphaTauri team? I've read some articles speculating that you were interested. I guess it can help strongly the brand hit, especially in the US. Also, you recently signed Fernando Alonzo as a brand ambassador. So, if you have any comment on that front, it would be helpful. Thank you.
Yves Müller: Yes, bonjour, Anthony. Thank you very much for your questions. I will start with the second question around the Americas. So, clearly, I think we are really gaining a lot of shares in the Americas market, especially in the US. I think this plus 20% shows you that we really have a - especially in comparison to our competition, a very strong performance. I think three or four major factors. One is, clearly we have now established the image of both brands, BOSS and HUGO, of being a 24/7 lifestyle brand. This is somehow underlined and underpinned by these campaigns that we are doing. You can imagine BOSSes are not born, BOSSes are made, this a campaign that really resonates with the US consumer. They love this. We have been invested a lot in the US with our Miami fashion event gaining especially younger consumers into our base. And just recently, if you look at our cast, if you look at the collaboration that we are doing with NFL, with Patrick Mahomes, even now NFL is coming the next weekend to Frankfurt. So, NFL is a big topic for the younger audience. It’s a top sport, and I think we are making big moves there, big bold moves in the American market, and this is really helping us. So, the underlying trend of the increasing amount of customers in our customer base, the ongoing performance in the Americas is very strong and will remain strong. And I can somehow confirm what Susy or Jurgen was asking, that the Americas look quite conservative for Q4. So, and the first question is related to EMEA. So, overall, it was up plus 12%, as you know. If you were asking your questions around retail, and if you look up the numbers, you see that retail in Europe was growing low single-digit, but if you exclude all the store innovations that we were doing, it was not only Dubai. It was also Lisbon. It was Stuttgart, Berlin, Milan. So, a lot of stores that have been renovated. So, it would be a kind of mid-single digit, close to a high single-digit number. This is one, and you have to consider as well the four-year stack. So, the four-year stack was with 31%. I think overall for the whole retail environment, a pretty strong number if you look at this.
Anthony Charchafji: Thank you. 
Operator: The next question comes from Manjari Dhar from RBC. Please go ahead.
Manjari Dhar: Hi. Good morning, Yves. Good morning, Christian. Thanks for taking my questions. I also have two, if I may. The first is on the store state, and I wondered if you could give any more color on the uplift in performance you see, or you've been seeing from the most recently refreshed stores or some of the ones that you've refreshed this year. And then secondly, on the wholesale side of things, I wondered if you could give a little bit more color on how much of the wholesale, the brick-and-mortar wholesale growth is coming from the space now. I think we've talked to it being about 50% in the past. Is it more like-for-like driven now? Thank you.
Yves Müller: So, Manjari, thank you very much for your question. So, I will start with the second question regarding wholesale. So, I would say, if you - I think if you would take a rough cut, I would say it's 70%, 75% is like-for-like, and 25% is still growth-driven out of two factors, because with some major accounts, we are still gaining more and more doors, especially in the US. So, we are gaining more doors on that side. And on top of this, we are expanding our franchise business, as we have told you during our capital market space. So, this is actually driving additional space, and there is more to come on the wholesale side. So, this is one thing. And the other thing is the first question was related to the store. I mean, it really depends store by store, but if you look at the Halo store, Dubai Fashion Valley, and the Dubai Mall, we have really spectacular double-digit growth. After the renovation, we have light start in Amsterdam, which we have just reopened. So, the numbers really look good. We really changed the POS into points of experience. This makes us very happy, and you can see this overall underlying in the store productivity, that overall our store productivity was another plus 7% now, is clearly above our midterm guidance of 3% as a CAGR. And this is the all-in numbers. So, you can see overall, we have now - overall at the year end, we will have 40% of our store universe in the new store concepts. So, we keep on investing. We keep on changing these points of - these POS into the new store concept, and this is really helping us.
Manjari Dhar: Great, thank you, and well done again on the results.
Operator: The next question comes from Andreas Riemann from ODDO. Please go ahead.
Andreas Riemann: Yes, hello. First one on the retail selling area again. So, if I understand you, if you're saying roughly 5% of the selling area was closed in Q3, and given that Dubai and other stores are open again, then it may imply that we can assume that it is less than 5% in the fourth quarter. This would be the first question. And then the second one would be on growth and complexity. So, sales growth was 15% in Q3. What was roughly the volume growth? And linked to that, how about complexity? Is the number of SKUs at present decreasing despite 15% sales growth? This would be the second question. Thanks.
Christian Stohr: Andreas, sorry, this is Christian speaking. Can you repeat the second question please? Either the line was broken, or we didn't just hear you right. But maybe you can repeat the second question, please.
Andreas Riemann: Yes. So, I was saying that sales growth was 15% in Q3, 15%, and I was asking about the volume growth in Q3. And linked to the volume growth question, how about complexity? Is the number of SKUs at present decreasing?
Christian Stohr: So, I can take this second question. So, definitely, if you look at our growth rates, it was driven by volume as well. So, as we were saying, we are gaining market share. You can - this is definitely one of the major drivers of the growth. And we achieve this actually by reducing the complexity of our business, especially in BOSS menswear, which is the biggest part of our business and in shoes accessories. So, this is all well as planned. We keep the complexity under control, and we want to reduce the complexity. And especially with BOSS menswear, although we introduced the BOSS Camel, if you take it as combined, those four brand lines, we are now at the number that is under prior year’s complexity. So, we are really making a big progress, and there is more to come on the complexity side. And I have the honor to take your first question, Andreas. And just by way of clarification, I guess, Yves did not make a comment on how much of our store (indiscernible) was closed during the course of the third quarter, but the point was, when it comes to Europe, I mean, we have definitely seen a number of high-profile stores being under renovation and being temporarily closed. As you called out, Dubai, Milan, Lisbon, Berlin, Stuttgart, Amsterdam, just to name a few. And I think Yves’s point was that the reported brick-and-mortar retail growth for EMEA was a plus two in the quarter, but adjusted for that, for these store renovations, we would probably be somewhere in the mid-single digits, yes. So, there was probably a couple of percentage points impact from these renovations, which should be less of - a little bit less I guess during the fourth quarter because many of these high-profile stores have meanwhile been reopened, first and foremost Dubai Mall, and as you said, this is one of our biggest stores globally for BOSS.
Andreas Riemann: Okay, thanks for this clarification.
Operator: The next question comes from Thomas Chauvet from Citi. Please go ahead.
Thomas Chauvet: Good morning. My first question on your sales productivity, it's increased by over 10% in the nine months to €12,500. So, you're very close to your 2025 target of €13,000. That would imply only 2%, 3% gain per annum from here. I mean, is there not room if you think to do a lot better than this implied productivity gains in your retail business? Secondly, on inventories, so they're up 30% at the end of September, more or less. You mentioned a high share of core merchandise again, but also potentially, greater promotion in the fourth quarter. So, would you expect to do a sort of one-off clearance of your seasonal inventory in the coming weeks? I'm thinking particularly in Europe, given the recent weakness. And just to clarify the numbers, reconcile the plus 12 for EMEA with France, UK, mid-single digit, Germany plus eight. So, could you tell us what the kind of Middle East, India, Africa represents as a percentage of EMEA sales? And I guess that was probably up 50%. So, I was curious to know if this is organic. Is this part of your expansion into franchise stores in EM that you talked about at the capital markets there in the summer? Thanks.
Yves Müller: Yes, bonjour, Thomas. Thank you very much. So, I will try to answer your three questions. So, first of all, talking about the sales productivities, I can confirm that they rather look conservative from your perspective. And I think it's good (indiscernible) wise, so we don't know what's happening macroeconomic-wise for the next year. We are now sitting at €12,400, and we still try to focus on improving our store productivity, because this is really driving the leverage of our business and we keep on doing so. So, this means optimizing our retail network will be one of our clear priorities, modernizing our store concepts. We know that once we remodel the stores, the consumers are happy, the financial performance looks great. So, we’ll keep on doing this and drive with this actually, the store productivity. Actually, by the way, especially those Halo stores, so these top stores, they generate productivity which is well beyond the €20,000 mark. So, it's really - we are really happy how they are performing. Your second question was related to inventories, and I can say that there will be no one-offs in Q4. So, as we always say, the aging structure looks great. We keep on reducing the inflow as we have said, to get the weekly coverages down. So, this is - there will be no one-offs in Q4. And the last question was related to, what was that, the EMEA growth of 12%. You can say that those big markets like Germany, UK, and France, they make a little bit less than 50% of EMEA. But we have seen tremendously good growth in those areas where there are a lot of tourists, especially in Iberia, in Turkey. Middle East have been strong, and we have been growing our franchise business in Eastern Europe as well. You have seen a strong performance in these areas.
Thomas Chauvet: Thank you, Yves. So, Middle East, India, Africa, how much would it represent of total Europe in percentage terms? It’s 15%, 20% already?
Yves Müller: 15%.
Thomas Chauvet: Thank you.
Operator: The next question comes from Rogerio Fujimori from Stifel. Please go ahead.
Rogerio Fujimori: Oh, hello, Yves, and Christian. My first question is about Camel, and my second question is about pricing. So, could you talk a little bit about both Camel (indiscernible) in China and Korea, and how the Camel performance relative to Black in Europe and Americas, given the - how do you see the performance given the softening market demand for aspirational luxury? And then on pricing, could you just confirm the level of pricing that we should model for spring/summer 2024? And I imagine the autumn/winter 2023 was mid-single digit. Could you just confirm that? 
Christian Stohr: Rogerio, again, this is Christian speaking. Can you repeat the first question, please? The line was definitely broken this time.
Rogerio Fujimori: Oh, sorry. It's about both Camel. Could you comment about the traction of Camel in the affordable luxury segment in Asia, specifically China, and how Camel performance compares to Black in Europe and Americas? Thank you.
Yves Müller: So, good morning, Rogerio. Regarding BOSS Camel, so what I can say is clearly the BOSS Camel is the brand line - of course, the fastest growing brand line that we are having. BOSS Camel is great to elevate overall the BOSS brand, which we intend to do. So, already today in the Asian markets, it's between 20 to 25 after one and a half years or 50 months since we have introduced both Camel. It’s 20 to 25 of the business, and it's really growing into the right direction. The price-value proposition is great, and we keep on growing and this is clearly one of our focus points for the next quarters to grow the business. And regarding pricing, you are right. We did - at the end, we did two price increases. One was for winter 2022, and another mid-single now for fall. So, we have a combined rate, which is like low double-digits. This is where we are standing. I think, and this is why I always highlight this, we have really one of the best price-value propositions, because as you might know, all the competitors were taking the prices up much further than we did. Now they are discounting their products. I think we did it in a very smart way, and that's how we can keep our gross margin, develop our gross margin the fourth quarter. So, this means if you talk about this summer 2024, we have now - we are, like I said during the call, we are low double-digit price increases that are now in the base.
Rogerio Fujimori: Thank you very much. 
Operator: The next question comes from Michael Kuhn from Deutsche Bank. Please go ahead.
Michael Kuhn: Hey, good morning. Also two from my side. Firstly, on cashflow and inventory reduction. Looking at the aspired reduction and the implied earnings guidance for the fourth quarter, do you still see a chance to end the year with a neutral or slightly positive free cash flow? That would be the first one. And the second one would be on OpEx and specifically on admin cost. Those were north of €100 million over the past three quarters until Q2. Now we saw drop in the third quarter. Wondering what caused that drop and what we should assume here in terms of the run rate going forward, or in terms of overall OpEx growth. Thank you.
Yves Müller: So, good morning, Michael. Thank you very much for your two questions. So, regarding cashflow, I can clearly confirm that we will end with positive cash flow at year-end. This is what we intend to do because we will get our inventory levels at year-end further down. And of course, the retail business is huge in the fourth quarter. This will drive cash flow as well. So, we are very much convinced that we can get to positive cash flows, free cash flows. Regarding OpEx, there are always some timing difference regarding OpEx. You should assume in your models usually, the inflation rate that we have seen in OpEx. So, this time it was a little bit lower. There are some timing effects here and there, nothing to worry, but in your model, I would see a kind of mid-single digit rate going forward.
Michael Kuhn: All right, thank you.
Operator: The next question comes from Thierry Cota from Société Générale. Please go ahead.
Thierry Cota: Yes, good morning, Yves, and Christian. Two questions for me, actually rebounding on comments you've made. First, you said that the big unknown in Q4 would be promotionality. I was wondering, how do you assess promotionality today? I mean, are we starting from a point where you think it's high, where you think it's slow, or average versus history in order to sort of measure the potential risk? And the second question would be how to reconcile the retail up 8% and the average ticket in the double-digits. So, what gives? Is it the double-digits for price store and the non-full price is diminishing as a proportion of sales, or is it the store closures that you mentioned earlier, the negative space effect, or is there initial on volume? I mean, how do we reconcile the two numbers, please?
Yves Müller: So, the numbers - I was talking about the freestanding stores. So, you have to look at the shop-and-shops and the outlet business as well. So, there are different businesses. So, having said this, you cannot compare these kind of numbers. And regarding promotional activity, what I can say around Q3, I would view them, as I said during the call, Q3 is usually a month where you don't have extensive promotional activity. It was - I would view this rather average, but we know that there are a lot of inventories with a lot of sitting with a lot of competitors. So, this is the big unknown for Q4 and still we haven't started into the discount season yet, so it's not visible yet.
Thierry Cota: Okay, thank you.
Operator: The last question comes from Martin Ben Rada from Goldman Sachs. Please go ahead. 
Martin Ben Rada: Morning, guys. Thanks very much for the questions. I've just got two, if that's all right. First one's just on marketing and I guess your expectations into 2024. Is it right you'll manage your spend as percentage of sales to be relatively consistent with what we saw in 2023 to date around that 7% to 8% range? And the second one is just on the digital business. You guys are seeing some pretty robust growth here while some of your peers are normalizing. Interested if there's anything you can attribute this to, if there's any change in strategy for your digital business. Thank you.
Yves Müller: Yes, so, regarding marketing spendings for the year 2023, we are sitting just below 8%. This has been pretty consistent so far, and we are really enjoying this great brand momentum. So, we keep on pushing the pedal to the metal when it comes to marketing spendings. And regarding 2074, I'm sorry, Ben, we will have our guidance for 2024 in March. So, let's talk about marketing spendings, Ben. Regarding the digital business, I think it's a clear outperformance. So, the performance has been very strong over the last quarters. I would like to remind you that in the last years, we were always a little bit leg lagging in terms of digital capabilities. This was one of the reasons why we introduced this one big claim lead in digital, where we really invested into the digital campus. So, you can really see in terms of much more functionalities, much more personalized. We are having an app in Europe with a tremendously high success of downloads. So, we are constantly improving our digital business and gaining market shares there. And we are now trying to surpass the competition. That's actually what's these investments, we talk about a lot of these digital investments, and they are now paying off and they translated to growth at the end, especially where we are very happy about our hugoboss.com, which was growing 20% in Q3, and keeps on growing actually in Q4.
Martin Ben Rada: Great. Thanks.
Christian Stohr: Great. Well, thank you, Yves. Thank you, ladies and gentlemen, for dialing in. That completes today's conference call. If you have any further questions, as always, please do not hesitate to contact the Investor Relations team anytime. Thank you very much for your participation, and we look forward to seeing many of you on the road in November. Thanks, and goodbye.